Robin Colman: Good morning, ladies and gentlemen. Welcome to Software AG's analyst call and webcast on its preliminary Q3 and nine-month 2022 results. This morning, Software AG published the preliminary results for the reported quarter and the first nine months of 2022 as well as the presentation used in this call. Today's call will start with the presentation from our CEO, Sanjay Brahmawar; followed by our CFO, Dr. Matthias Heiden, before opening up the line for taking questions. Joshua Husk, our new CRO, is also in the room with us, and we'll take your questions during Q&A. Before we start, here are some housekeeping remarks. This conference call is also being broadcasted via the web. You may access the webcast via our Investor Relations website. The webcast will display the presentation slides related to this call, and the same slides are available for download on our website. The webcast, including the full call with questions and answers and the names of questioners will be recorded and made available for replay later today. Finally, let me remind you of our disclaimer statement, which is shown at the beginning of the slide presentation and is valid for the entire call. Thank you for your patience.  Now over to Sanjay.
Sanjay Brahmawar : Thank you, Robin, and good morning, everyone. Thank you for joining our call today. Despite an increasingly complex global macro picture, during Q3, we delivered a solid performance, competing customer priorities continue to influence the timing of some deals, but our results demonstrate that our fundamentals are strong. Demand is robust and execution is improving. In the Digital business, we saw 11% organic growth in bookings and growth of 12% in ARR. We also grew organic digital business product revenue for a sixth consecutive quarter at 3%. As expected, A&N bookings declined 10%. We also continued to deliver strongly on profit. We ended Q3 with our non-IFRS EBITDA margin at 16.6% and a nine-month margin is up year-on-year and already in line with our full year guidance at 20.4%. More broadly, over the nine-month period, digital business bookings growth is approaching our full year corridor at 11% and digital business product revenue grew 6%. Again, as expected, A&N bookings declined 22% and total product revenue, although down 2% in the quarter, was flat year-on-year. I'd like to thank the team for their efforts in delivering this performance. Circumstances have been challenging, but they've stayed focused and attacked the issues that we faced in Q2. Today, as you would have seen, we've also announced that the Supervisory Board and I have agreed to renew my contract with the company for a further three years. I'm very proud to be continuing the task of transforming Software AG for sustainable, profitable growth. Today, we've also announced that Matthias will be leaving Software AG at the end of the year to pursue other opportunities. This will be our last earnings call together, and I'd like to take the time to thank him personally for his service to the business and his contribution to the success of our transformation while he's been with us. Matthias successor will be Daniela Bünger, a seasoned software executive with tremendous industry experience and a skill set perfectly suited to the next -- needs of our next transformation phase. In a distinguished career at Accenture and ATOS, she has held many senior roles and has a proven track record of driving operational excellence through simplification, driving recurring revenue streams and overseeing successful merger integration. Looking ahead, a number of factors evident in our Q3 results underpin my belief in our full year targets, provided the macro conditions stay relatively consistent with the current environment. First, we are resilient. Our business model continues to work in our favor. Digital business product revenue is growing. Our ARR growth shows we have a strong base of cash generative products, and contracts and our revenue stream is becoming increasingly predictable. In Q4, we also see renewals significantly accelerate as the first customer cohort in our transformation journey from Q4 2019 comes back to renew their relationships. Our fourth quarter A&N pipeline is also robust. Given the proven mission criticality of the A&N product, we are confident our planned deals will close on time and deliver the uplift required to meet our full year guidance. Second, we are increasingly profitable. Our progress is being driven by the operating leverage created by our subscription shift, and our new Chief Operating Officer, Benno Quade, is bringing renewed focus, accountability and end-to-end operational efficiency to our business. Productivity and cost optimizations remain key focus areas as we prepare for next year and a higher portion of SaaS in our business. Third, we continue to increase focus in our operational footprint. This has been a key element in our Helix strategy. And in the quarter, we took a clear strategic decision and sold our shareholding in fact, a non-core regulatory software product that had been operating as a stand-alone business since its acquisition in 2009. In selling the business to ACTICO, we bring even more focus to Software AG and give FACT an owner more closely aligned to its core business. During Q3, we also built on the sale of our Spanish professional services business by expanding our partnership and relationship with Persistent, a key implementation partner in North America. We will now subcontract all our North American digital business professional services implementation work to Persistent, which will deliver new solutions based on our software to its clients. This will drive new logos, support our partner ecosystem in the region and accelerate our overall scaling in the North American market. Matthias will talk through the financial impact on our Professional Services segment shortly. But strategically, this is a win-win for all our stakeholders. Our people will be part of a growing team. Our customers will see the best possible implementation service from a much larger organization. And for us, we can drive faster growth with more boots on the ground. This is a major step in our plan to move our PS business away from volume-led implementation work and towards higher margin advisory services with high-quality partnerships focused on driving adoption of our growth products. Finally, Joshua Husk, our new CRO, is helping us improve sales execution and become an increasingly reliable new business machine. I'm pleased to say that Joshua is in the room with us today and will be available to discuss this progress during the Q&A session. During Q3, our conversion rates improved and we have already made a strong start to Q4. Joshua's focus on improving quarterly linearity has seen us close more business earlier in the period than we've seen previously. And we're being more disciplined in how we validate and qualify our pipeline. Overall, we're being more execution focused, and this is contributing to high quality and greater predictability in our business. From a customer sales motion perspective, our growth continues to be generated by our three drivers: new business, renewals and migrations. On new business, our land and expand activity is going well. During the quarter, we saw 93 new logos, up 41% from 66 in Q3 last year. This brings our nine-month new logo count to 219. This is up from 206 after the first nine months of 2021 and is another important indicator of continued market demand. In terms of new logo wins in the quarter, one of my favorites come with Adobe, a leading light in the software industry, which signed a new agreement with ARIS. This expansion means we are now leveraging our business transformation and process mining technology to support Adobe in its transformation. Another great win came in the growing IoT and analytics space. We won a seven-figure competitive new logo with Enercon, the €5 billion wind turbine manufacturer from Germany. Enercon will use our Cumulocity platform to connect more than 30,000 turbines using the data we produce to increase operational efficiency, reduce cost and gain more control over energy use in the context of action against climate change. On the expand side, we continue to see robust double-digit growth in the number of deals landing at values between €250,000 and €300,000. This is the ideal starting point for the expand journey, leaving plenty of room for innovation-led growth through the customer lifetime. This isn't to say we're only focused on smaller expansions. During the quarter, we also won a great expand deal with DHL, which deepened its commitment with web methods in support of its migration to the cloud. On migrations, we continue to track in line with our plan. Our digital business multiplier was 1.5x at the end of the 9-month period, with the increase in value representing new ARR to our business. To give you an example of how this works, in Q3, we delivered a fantastic migration with Vodafone. To win this deal, we defined a new approach for Vodafone aligned with its strategic shift from telco to techco. Our plan will give it a much more efficient digital backbone connecting over 250 external suppliers and resellers into its business support infrastructure. On renewals, we saw another solid performance in our digital business, supporting our overall NRR, which is ahead of 100%. This included an excellent deal with Tesco, which signed a multimillion long term renewal contract to expand its use of ARIS in support of its business process transformation. As I mentioned before, we also expect Q4 to be strong renewals quarter. Ultimately, each of these drivers contributes either to current or future ARR, which is increasingly the lens through which we think about the development of our business. The momentum we are generating in these drivers is down to the ongoing market impact of our most important growth cohort of products. These are web methods in iPaaS, Cumulocity IoT, TrendMiner analytics, our ARIS Cloud portfolio and StreamSets, and they're all helping customers deliver insight and value from data across their digital backbones. Together, their ARR continues to grow well into the double digits and significantly ahead of the total ARR of the digital business. In this quarter, we're going to take a closer look at IoT and analysts. During Q3, this portfolio grew bookings in the strong double digits. And as I described in the Enercon example, our solutions in this area are being deployed in ever-more mission-critical use cases. During the quarter, we won a great deal with a €5 billion global leader in steel wire transformation and coatings, Bekaert. This high figure 6-figure bookings deal will see Cumulocity and web methods combined to support the digital transformation of 9 Bekaert manufacturing sites with 50 similar sites to follow. Demand for our IoT products is also being strengthened by favorable market dynamics. With the news over the summer that Google is retiring its core IoT product, our view is that hyperscalers many of which are already our partners are thinking about their IoT delivery through tie-ups with ISV providers like us. This presents a significant new opportunity for Cumulocity and as a leader in the field, we have a real opportunity to accelerate our growth and take market share. With hyperscalers mainly focusing on developers, we deliver a solution for a build and buy strategy. On top of these market dynamics, we also continue to drive our innovation agenda forward, our thin-edge.io initiative constitutes the first-ever open source cloud agnostic IoT framework designed for resource-constrained edge devices. More broadly, we continue to receive very positive feedback on our IoT products from both end customers and industry analysts. You will see our clear leadership position in this area in the upcoming Gartner IoT Magic Quadrant. Away from IoT and analytics, I'm really pleased to report that Q3 was another good quarter of progress, which StreamSets, our recent acquisition. From a stand-alone perspective, StreamSets continued to deliver strong double-digit growth with its leading data integration technology and crucially, we are now seeing early successes from our synergy-focused activity. During Q3, we won our first synergy deal, a competitive win with Abu Dhabi-based cloud provider for government services, G42. This is a marquee moment. StreamSets delivered a key competitive advantage in a tender process with our combined StreamSets and webMethods offering beating our competition to facilitate data and API integration across all Abu Dhabi government entities. The quality of the customer feedback to our proposal and the shape of our pipeline indicates that this is a sign of things to come. Looking ahead, we are watching the macro environment closely as we work to deliver our fourth quarter. My confidence in our ability to reach our goals is based on 2 factors. Matthias will complement from a financial perspective later. First is market demand. The key point here is that our software is mission-critical to our customers. This means we continue to see stable demand and a willingness to do business while the environment stays relatively consistent. Economic challenges can also drive demand for technology that increases efficiency and reduces cost while promoting growth. As you've heard today, with the likes of Enercon, Tesco, Bekaert, Adobe and G42, we have very strong credentials here. Second is our own pipeline, along with our robust A&N pipeline and renewals dynamics, we're also seeing good pipeline evolution for the fourth quarter in our digital business. We have 17% more pipeline on a rolling 4-quarter basis than we did at this time last year. It's also higher quality and with the improving execution, again, provided we see no material negative change in the macro, we are set well to deliver against this. These factors give us the confidence to reconfirm our full year guidance today. We have started the fourth quarter with tracking ahead of some point last year on both total bookings and digital business bookings. We look forward to executing our plan consistently through and beyond the end of the year. So with that, Matthias, over to you.
Matthias Heiden : Thank you, Sanjay. Now let's take a closer look at the quarter's numbers. Before we start, I would like to echo what Sanjay said earlier. Despite an increasingly complex global macro environment, we delivered solid performance, which proves that our strategy is on the right track. Nevertheless, we do acknowledge the fact that we present a complex set of results to you today. Therefore, I will do my best to explain the various financial impacts in detail. Starting with our Digital business. Bookings grew 11% year-on-year to €105.1 million for the first 9 months. Organic digital business bookings reached €281.4 million, representing growth of 11% year-on-year. As Sanjay mentioned earlier, we've had a strong start into Q4. However, due to the continued impact of the macroeconomic environment on customer decision-making, we do anticipate some longer sales cycles to continue. These dynamics saw us adjust our digital business bookings guidance at our Q2 results in July to 12% to 18% for the full year, which we reconfirm today. Within our digital business bookings mix, worth noting the contribution from SaaS, which was up 6 percentage points year-on-year to 27% in the quarter and up 4 percentage points to 25% in the first 9 months. This increasing portion of SaaS is in line with the market trend we are seeing and the increasing demand for our cloud-native products. A great customer example of our stark success is Adobe, which Sanjay has mentioned earlier. In total, organic digital business bookings in the first 9 months dropped through to organic digital business product revenue at a ratio of 47%. Looking at organic digital business product revenue. In the third quarter, we achieved €126.8 million, representing growth of 3% year-on-year. In the first 9 months, organic digital business product revenue was €367.7 million, showing growth of 6% year-on-year. Including the contribution of StreamSets, Digital Business bookings in Q3 and the first 9 months grew 26% and 23%, respectively, while digital business product revenue grew 8% and 10% over the same period. Turning to ARR in our digital business. While bookings have served us well as a metric to monitor and report on sales performance during the first 3 years of our transformation, our shift towards a subscription-based business model is now reaching a stage at which ARR is becoming an increasingly important performance measure. On an organic basis, our Q3 ARR grew by 12% year-on-year, reaching €478.4 million. This is an acceleration of 1 percentage point on Q2 this year. Including StreamSets, digital business ARR was up 20% year-on-year at the end of September. This ARR performance was driven by the tailwinds from our move to subscription and SaaS as we address this shift in customer demand towards the cloud. In A&N, we delivered third quarter bookings of €19.3 million, representing an expected decline of 10%. For the 9-month period, A&N bookings were €68.2 million, representing a 22% decline year-on-year. Given the known cyclicality of license agreements with our existing and long-term A&N customers, we have good visibility on future A&N deals. Many of these are coming up in Q4. As a result, we are in a good place to achieve our A&N full year 2022 bookings guidance. Our A&N bookings to revenue ratio was 72% for the 9-month period in line with our full year planning assumption of around 75%. Overall, A&N product revenue declined 12% year-on-year to €46.5 million in the third quarter. On a year-to-date basis, we also saw a decline of 12% to €154.3 million. Moving on to our overall organic performance. Total bookings landed at €124.5 million in Q3, increasing 7% year-on-year. Q3 organic product revenue was €173.3 million and €522 million over the first 9 months. This represented a decline of 2% in the third quarter and was flat year-on-year over the first 9 months. On recurring revenue, our organic stream during Q3 was flat at €165.4 million in the quarter and €482.6 million in the first 9 months, representing 1% growth year-on-year. The portion of product revenue that was recurring amounts to 95% in Q3 and 92% for the first 9 months. Including StreamSets, total product revenue was €180 million in the third quarter and €534.6 million in the first 9 months, showing growth of 2% and 3%, respectively. StreamSets contribution was €6.7 million in Q3 and €12.6 million year-to-date, including the addition of 2.5 months in Q2. Importantly, this figure includes StreamSets IFRS revenues. At the time of acquisition, we provided guidance for group non-IFRS product revenue growth including StreamSets of 12% to 16%. Taking into account the net negative impact from the accounting policy change to IFRS as well as the impact of the PPA, StreamSets non-IFRS revenue year-to-date was €16.7 million for the 5.5 months period, StreamSets has been part of the group. When combined with our 9-month organic product revenue of €522 million, total non-IFRS product revenue was €538.7 million, representing 4% growth year-on-year. Looking into the full year, we continue to expect that the contribution of StreamSets in Q4 to our organic development mentioned earlier, will allow us to achieve our non-IFRS product revenue commitment. On professional services, excluding StreamSets, revenue grew 1% in Q3 and was flat on the 9-month period. Our professional services margin was in line with our plan. With the contribution of StreamSets, professional services revenue grew by 6% in Q3 and 2% in the first 9 months, achieving a margin of 18.6% in Q3 and 17.8% in the first 9 months. In combination, our professional services revenue and our total product revenue gave us third quarter total organic revenue of €212.8 million. Organic revenue over the first 9 months was €638.8 million. With the contribution of StreamSets, total group revenue landed at €221.4 million in Q3 and was €654.3 million for the first 9 months. Now turning to our cost development. Excluding the impact of StreamSets, total costs in the quarter were €198.9 million, representing an increase of 15% year-on-year on a stated basis. Adjusting for one-off factors we will touch on later in reference to the group's EBIT, underlying costs grew 7% on a stated basis. For the 9-month period, total costs were €548.1 million, an increase of 8% year-on-year on a stated basis. We continue to proactively manage costs in line with our top line development while maintaining focus on our full year targets. For example, while we're not immune to the wider inflationary environment on labor costs, the mission-critical nature of our products is enabling us to leverage our contract renewal events to apply our strong pricing power to mitigate some of this impact. Turning to our operating margin. Again, excluding the impact of StreamSets, our non-IFRS EBITA margin was 16.6% for the quarter and 20.4% for the first 9 months, which is within our full year guidance range. We're very pleased with this result of our operating profitability and remain confident in achieving our full year target. The impact from StreamSets on group non-IFRS EBITDA was negative €5.4 million in the quarter and a negative €10.1 million in the first 9 months. This is in line with the expectation shared at the time of the acquisition, including StreamSets, the group achieved a non-IFRS EBITA margin of 13.5% in the quarter and 18.4% for the first 9 months. It is also important to point out that our organic EBIT was at €13.9 million in the quarter, 43% lower year-on-year. With the addition of StreamSets, the group's EBIT was minus €6.6 million in Q3. These year-on-year declines in Q3 were driven by a number of items, most of which were one-offs. First, in reference to the amortization on acquisition-related intangible assets line shown on the slide being displayed the €35.8 million contains a one-off professional services goodwill impairment of €25.3 million as well as the amortization of intangible assets related to the StreamSets acquisition of €6.5 million. This is an important piece to consider for the financial modeling going forward. Second, in reference to the other impact in M&A activities line, the negative €3.7 million in the quarter is a combination of the capital gain related to the FACT transaction and the remaining one-off M&A expenses related to the StreamSets acquisition. Taking all this into consideration, we would have seen our Q3 organic EBIT at €26.9 million. On an inorganic basis, EBIT would have been €20.8 million in the third quarter. This would be broadly in line with market expectations. The aforementioned impairment and sale of the shareholding in fact, was also a headwind on our tax rate, which was minus 15% for the quarter and 48% year-to-date without this impairment and the sale of our shareholding. In fact, we would have seen a lower tax rate of around 35% in the quarter and 37.2% year-to-date. Turning now to our balance sheet. In the context of the macroeconomic environment, it's worth making the point that Software AG remains a financially stable and resilient business with a leverage ratio of around 1.5. I would also like to underscore the changes of goodwill within our fixed assets, which you can see on the current slide. Our goodwill has increased by €470 million resulting mainly from an addition of roughly €400 million from the StreamSets acquisition and a decrease of €25.3 million which is related to the previously mentioned impairment of the remaining goodwill associated with our professional services business. The trigger for the impairment should be seen in the context of taking the next step in our transformation of the Professional Services segment and the group at large. Let me provide you with some more color around this. Our partnership with the system is intended to transition volume-led implementation work to this key partner. This allows us to refocus our own professional services business towards higher-margin advisory services. During this transition, there will be an impact to the growth of the professional services business. However, this impact will be limited at the group level, while at the same time, our sharper focus on advisory services will drive future sales opportunities for our digital business product portfolio. This will lead to additional demand, especially for our new offerings. In this regard, this is absolutely the right decision for Software AG and our transformation going forward. as we have a great partner in Persistent who will not only support our customers with the implementation of our products, but also commits to driving the demand and adoption for our new digital business software offerings in the market, and in particular, in the U.S. The evaluation of the impact from this transformative step against the limited available headroom inside the Professional Services segment, as described in the sensitivity analysis in our annual report 2021, led toward the write down. As a reminder, this is a noncash impairment. This does bring me to our cash flow. Coming from a weak Q2 significantly impacted by one-off cash outflows, mainly from higher tax payments as well as M&A, we delivered €6.5 million free cash flow in Q3 and €9.1 million for the first 9 months. On a year-on-year basis, free cash flow is down 58% and 88% for the third quarter and year-to-date, respectively, as free cash flow continues to be impacted by our business model transformation and shift to subscription. As mentioned in Q2, we are currently passing through the trough of free cash flow as we continue to progress towards more predictable cash flows at a level higher than pre-Helix. However, at this point, sales still come with lower upfront billing than historically, while product revenue can be recognized upfront in many cases. A look at our ARR development gives us a clearer indication of future cash flow development as the subscription, SaaS and new business contracts start to stack up over time. In parallel, we continue to drive financial discipline into the entire organization as it relates to cash and cash management. Specifically, sales behaviors, for example, around payment terms negotiations while also being as efficient as possible with costs. I will now make a few comments on our outlook before I close and we move to Q&A. First, to reiterate what Sanjay said, we are aware of the need to close this year strong and deliver a fourth quarter that brings us in line with our guidance ranges. We're also monitoring the macroeconomic environment closely for any signs of material change that might impact our ability to execute our plan. This being said, our digital business bookings growth saw momentum return from Q2 to Q3, and we expect to continue this increasing momentum and sales discipline in the fourth quarter, supported by a strong backlog of renewals. Our A&N business is tracking as planned with the fourth quarter featuring a handful of large A&N deals with long-standing customers. We are comfortable with the A&N-related full year bookings guidance and please be reminded that these bookings come at a relatively higher bookings to product revenue conversion rate. Total digital business product revenue year-to-date is up 6%. This coupled with my previous comments on fourth quarter digital business momentum and A&N bookings gives us full confidence in the full year guidance of 7% to 11% growth. On margin, we already sit inside the full year guidance range through the first 9 months with our seasonally strongest margin quarter ahead of us. As it relates to StreamSets impact on the full year non-IFRS product revenue and EBITDA, the performance of this business unit remains in line with our expectations communicated earlier in the year. Looking ahead, the company has started its operating and strategic planning process for 2023 and beyond. As part of this process, our former midterm ambition will evolve into an operating budget and guidance for the year 2023. We will provide a further update on this 2023 guidance at the time of our Q4 and full year earnings in the new year. And with that, we will now take your questions. Robin, back to you.
Robin Colman : Thank you, Sanjay. Thank you, Matthias. Ladies and gentlemen, you may now ask your questions. Please ask only 1 question at a time. Randy, please repeat the instructions on how to proceed.
Operator: [Operator Instructions] We have the first question from Andreas Wolf from Warburg Research.
Andreas Wolf : It's Andreas Wolf, Warburg Research. Congratulations to Sanjay on the contract extension and all the best to Matthias going forward. So my question is on North America and the services business there, will the steps that we have seen now be limited to this region only? Or should we also expect similar steps for other regions? And related to this question is also the question whether Software AG need further steps to ensure the quality delivery going forward?
Sanjay Brahmawar : Andreas, it's Sanjay. I will start with your questions. The second question, I will need a bit more clarity. I couldn't hear you properly. So could you repeat the second question quickly?
Andreas Wolf : Yes. So the question is basically whether Software AG will have to implement further measures to ensure the qualitative implementation of its services in the software that software AG is delivering according to the levels that Software AG also had in the past?
Sanjay Brahmawar : Got it. Got it. Thank you, Andreas. So let me start with the services business in North America. Look, we are implementing our strategic plan on services. When I came into the company, I had already said that we do too much services for a software company. So what we've been doing step by step is reducing the services that are not strategic for us. First step was Spain. We sold Spain, was about 450 people. We were doing Microsoft and other kind of non-Software AG software implementation. So that was not strategic for us. Now in North America, we've done something, I would say, this is a real win-win and a very big step for us because we found a partner Persistent who is growing at 45%. They have 80% of the business in North America. They have more than 25,000 people globally, and 2,000 of them are selling solutions and software capabilities in North America. So this is going to become for us, a very strategic new logo, new business generation engine and a real strong addition to our ecosystem. Persistent is not only taking over the running of the professional services that we do in North America, they also invest in our technology, and hence, build solutions on top of our technology and take those into the market to their customers and new customers. So that's the rationale. To answer your question, is this the only region? And are we looking at more? Well, to be very honest, we believe we now have a good base of professional services and good skills. We are working on upscaling our talent to make sure that we are in the high-quality high-priced premium advisory services and usual systems implementation work is done by our partners. So that's the answer to your first one. Second one, will we invest? Well, we are continuously, as I say, investing in training our resources, getting them to be very relevant and impactful to our clients. So this is an ongoing activity for us to continuously hire the right kind of talent in professional services, but also invest in their growth and then knowledge. So I hope that answers your 2 questions.
Operator: The next question is from Michael Briest from UBS.
Michael Briest : Just in terms of the 2023 outlook, I appreciate you're obviously going into the budget setting stage at this point. But could you talk a little bit about how you see things? Obviously, for Q4, you're flagging the macro uncertainty. On the other hand, the euro against the dollar has been a major tailwind and probably will be next year. And then there's the professional services piece to consider. So could you maybe just talk qualitatively about how confident you still are in the achievability of the original goals?
Sanjay Brahmawar : Michael, I'll take that. It's Sanjay. Listen, I just want to unpack the macroeconomic uncertainty a little bit. So while, of course, in the current environment, all the challenges that you know with inflation, et cetera, I think most people polls today are going to say, "Yes, it's not as good as it was." And for the next 12 to 18 months, it looks quite tough. Now what's underneath that, if you unpack that, what is happening with digital is giving us a different story. There is definitely strong growth there, even though it's not the kind of growth that was experienced possibly a couple of years ago, the growth continues. We see that the shift from physical to digital, that's not going to change. So it might be a deceleration, but the growth is happening, and there's still growth. And hence, we just wanted to unpack that. It's also what we see, particularly if you're in mission-critical software, migration to the cloud, we see the cloud migration still growing at about 35% to 40%. And we are part of that helping the customers do more with less. So that's on the demand side. And then our model now starts showing the resilience, with the subscription and SaaS at 92% with the ARR growing and also the recurring part of the product revenue at about 90% that starts giving you some resilience. To your part, about 2023. Well, we're two months away from 2023. So we're now in the budget process. We are sitting down, taking our ambition. I can only tell you one thing that the company strategy is not changing. We are committed to our ambition to growing this company and growing it sustainably, but also profitably over the midterm. And that's what our 2023 ambition is premised on. So that has not changed. The SaaS and cloud acceleration that we are seeing has not changed. And we're taking into all those aspects into account to put together 2022 budget and then in Jan, give you our commitment. So yes, I'm not sure I gave you the precise answer that you were looking for, but that's the way we are right now.
Matthias Heiden : Michael, if I may just add 1 piece on PS. I just want to reiterate what we had said earlier around the results of the PS transaction there with Persistent meaning that this will lead to an impact on growth in the Operational Services segment on the one hand. But on the other hand, this is expected to come back on a more profitable level as a revenue stream in the digital business product revenue expressed differently, we do expect a pull for our new offerings from this transaction to result in particular, in North America. But I'm sorry, I did interrupt you there earlier.
Michael Briest : Well, I was just going to ask how big is the North American professional services? And should we assume this goes to zero from January 1 and a certain number of people move to Persistent? Or how will it actually execute?
Sanjay Brahmawar : Yes. It's about €15 million, Michael. And the interesting part is what Matthias said, the Persistent takes this as a base and then really rapidly grows the base and takes a starting point, but of course, taking our solutions into their own client base and new customers. So we think this is going to kind of dramatically help our North American attack.
Operator: The next question comes from Knut Woller from Baader Bank.
Knut Woller : The first one on DB for Q4, can you give us some color on what your expectation is on an expected renewal contribution as a percentage of bookings versus the new business just also to look at the low end and the high end of your targets? And then Secondly, a question for Joshua. Joshua, what kind of changes did you make in the sales organization since your arrival? And after having said that with the questions also all the best to you, Matthias, for your future endeavors.
Sanjay Brahmawar : Knut, it's Sanjay. I'm going to take the first one. I'm going to then allow Josh to say a few words and also his perspective. So listen, on the digital business, to give you a color on Q4, we have -- as we said, we've made a very prudent analysis of our pipeline deal-by-deal to get ourselves into a position where we understand what deals have to be closed and how we're going to get these deals to closure. We learned the top lesson in Q2. It was not a good performance. I was not happy with it. And I have to say in Q3, we really tightened our belts. And thanks to, of course, Joshua coming on board, as I mentioned in my script also, that we are much tighter, much better on linearity. We have started Q4 better, and we have a good sight on how we are going to close the deal as well as what backup we have to cater for any slips. So on the question about renewals, it is a significant portion of our Q4 number. And so that also gives us a high level of confidence why we are going to be able to turn these customers. So with that, Josh, over to you.
Joshua Husk : Thank you, Sanjay. I'm very happy to be here, and I'd like to take the opportunity to reiterate your comment on this being a solid performance and how proud I am of the teams involved in driving this quarter. Knut, thank you for your question. Clearly, we had some execution challenges in Q2, which I spent most of the Q3 focused on resolving. We're already seeing those improvements in our business with regards to our conversion rates, disciplined pipeline generation and greater predictability in our business.
Sanjay Brahmawar : Great. Thanks, Josh. Matthias?
Matthias Heiden : And I'll just round it off quantitatively for you, Knut. Thank you for your kind words, first of all. We stand by the 120 to 130 renewal bookings volume for the full year. With that said, you have the year-to-date numbers right in front of you and you can just do the math around the delta. But just as a reminder, the 120 to 130 for the full year stand.
Operator: The next question comes from Tytus Zurawski from Goldman Sachs.
Tytus Zurawski : Your gross margin decreased sequentially by over 3 points. I assume that part of that is due to additional month of StreamSets contribution, which comes at lower gross margin. Can you walk us through some other factors at play here? And how should we think about your gross margin going forward?
Matthias Heiden : So I can take that briefly. The start of your analysis is correct. You're asking for in addition -- I'll give you 1 additional element of it because that is one of the main driver. That's the additional share of SaaS, which is higher than expected, which impacts the gross margin there. And in terms of how we think about this going forward, there will be operational leverage and improvements across all fronts as we start to scale the cloud business on the one hand. And on the other hand, as we look into our operating leverage and optimization opportunities, as Sanjay referenced with regard to the programs run by our new COO, Benno Quade.
Operator: [Operator Instructions] The next question is from Martin Jungfleisch from BNP.
Martin Jungfleisch : I have two questions, please. First one is on StreamSets. Your product revenue guidance for StreamSets implies around €34 million non-IFRS addition to product revenues. On my numbers, StreamSets has added around €30 million so far. So is the StreamSets' performance in Q4 very back-end loaded? Or is this -- or has anything to do with the IFRS or U.S. GAAP issue. So any color on the expected Q4 performance would be helpful. And the other question is on A&N. Do you see an accelerated shift away from mainframes. Does customers try to optimize costs? Or have you not seen any customer indicating moving away so far? So there were some recent headlines from FedEx on this. So I just wanted to check in and see.
Matthias Heiden : So Martin, thank you for the questions. I'll start with the StreamSets piece and would leave the A&N piece for my colleagues. I believe you're not quite on the numbers as it comes to the year-to-date, which has to do with the transformation on the accounting side. However, you also said around the back-end loaded character of StreamSets that is a little bit the case. So we have a €32 million for the 8.5-month period around half of which is going to come in Q4. And when we look at and evaluate the pipeline of StreamSets, we're confident we make that, which is why we confirmed the targets that we have shared with you previously today.
Sanjay Brahmawar : Great, thanks Matthias. And on the A&N, just to give you some color and also some assurance around why we feel we can catch up on the A&N is because even though YTD in Q3, we're in the negative, as you saw, we have a heavy Q4 with many renewals on A&N front that we've known these customers and worked with these customers for a very long time. The customers that we have now, that base of about 750 customers is a very solid, very loyal, very -- for them, the A&N is a very crucial part of their operations. They're very satisfied with having A&N run, and whether it's running on mainframe or on Linux or some of them have even migrated to the cloud. The important aspect of these clients is to be able to reduce the total cost of ownership. And we are doing that through the innovation we bring, whether it is zIIP sitting on mainframe or it is the shift to cloud that we have done for many customers to Azure and AWS. So with that, maybe, Josh, you can share a little bit of light on few what types of deals we have in the A&N?
Joshua Husk : Certainly. As Sanjay and Matthias both mentioned, we have a very strong pipeline of A&N renewals. And there's a cyclical environment for these renewals. We have customers that we have long-standing relationships with. So that, combined with our close position to date, which is much better than it was last year or quarter-over-quarter, gives to confidence that we will deliver.
Operator: We have a follow-up question from Michael Briest from UBS.
Michael Briest : Just a quick one. On headcount, I noticed in Germany, you're down about 6% year-to-date. Is that deliberate? Can you talk more broadly about sort of the war for talent and attrition and cost pressures as you go into 2023, what do you expect on the sort of average salary front?
Sanjay Brahmawar : Michael, we mentioned in Q2, we made a few changes. We are -- we've joined our DACH region into our EMEA. So EMEA has been a very high performing setup for us. And so we are combining those into an overall Europe region. And of course, that leads to optimization and being able to capitalize on synergies across those two regions. So one of the aspects of that. And the second thing is as we get better in terms of the talent that we had hired 18 months ago or two years ago, the productivity now of that talent is improving. So therefore, the number of people that you need to add as you are progressing even if you have some attrition is lower. So that's the reason why you see that decline in the DACH. But overall, we are seeing more stability in DACH and improved performance in DACH in Q3.
Michael Briest : And for cost pressures, I mean, the salaries and attrition, are you seeing things get better now or...
Matthias Heiden : So Michael, I can take that one. You might recall me saying that we're not immune to some of the inflationary pressures. And I had explained, I believe, in the previous earnings release call, that budget-wise, meaning merit increase wise, we have a good solution for this because the merit increases based on incoming inflationary assumptions as you start the year. So that was relatively low. But during the year, and that is what I meant when saying we're not immune, we did make some one-off adjustments here and there, in those areas of the world, for example, in India, where the war for talent was really hot and I strengthened or I underline the word hot because I think it has cooled down a bit in the current environment. And at this point, we feel relatively confident in our position with regards the war for talent. And the last comment that I will reiterate on dealing with inflationary pressures is the pricing power via the index clauses, et cetera, or other contractual provisions that we have on increasing prices and end customer contracts. Hope that helps.
Operator: There are no further questions at this time, and I hand back to Robin Colman.
Robin Colman : Thanks, Randy. Thank you, ladies and gentlemen. That will conclude our conference call. We appreciate your participation and your constructive questions. If there are any further questions you would like to ask, please contact our IR team. And we wish you all a very happy holiday season, and we'll speak to you in the new year. Thank you.